Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fortress Transportation and Infrastructure Investors LLC First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.   I would now like to hand the conference over to your speaker today, Alan Andreini. Please go ahead, sir.
Alan Andreini: Thanks Josh. I would like to welcome you to the Fortress Transportation and Infrastructure first quarter 2020 earnings call. Joining me here today are Joe Adams, our Chief Executive Officer and Scott Christopher, our Chief Financial Officer. We have posted an investor presentation and our press release on our website, which we encourage you to download if you have not already done so. Also, please note that this call is open to the public in listen-only mode and is being webcast. In addition, we will be discussing some non-GAAP financial measures during the call today, including FAD. The reconciliation of those measures to the most directly comparable GAAP measures can be found in the earnings supplement. Before I turn the call over to Joe, I would like to point out that certain statements made today will be forward-looking statements, including regarding future earnings. These statements, by their nature, are uncertain and may differ materially from actual results. We encourage you to review the disclaimers in our press release and investor presentation regarding non-GAAP financial measures and forward-looking statements and to review the risk factors contained in our quarterly reports filed with the SEC. Now, I would like to turn the call over to Joe.
Joseph Adams: Thanks, Alan. Before going into the details, I want to take a moment to thank two groups. First, I want to thank our employees for the tremendous effort they have put into keeping FTAI functioning smoothly over the last six weeks. Your safety was our primary concern and as we implemented procedures to protect you, we made your jobs much more difficult. The way you have responded to this challenge has been nothing short of remarkable. We haven't missed a beat and that's because of you. And for certain it's been extremely helpful that a lot of us who worked together in many cases for more than 10 years. That being said, the way you have taken it to the next level is inspirational. It seems as if the toughest times can bring out the best and talented workforce and you've all shown those qualities and I just want to say thank you on behalf of myself, our Board of Directors and our shareholders. The other group I want to acknowledge are the healthcare professionals, first responders and all essential employees and their families, who are working incredible hours and putting themselves at great risk to make our troubled world a safer place. Your courage and dedication have never been more appreciated or more apparent. Thank you.
Alan Andreini: Thank you, Joe. Operator, you may now open the call to Q&A.
Operator: Thank you.  Our first question comes from Justin Long with Stephens. You may proceed with your question.
Justin Long: Thanks and good morning. So Joe, circling back to the call last quarter it sounded like there were multiple league  deals in the works. The deal with Air France was announced this week, but are there other sizable deals that you think can materialize in the near-term? And just more generally, how are you thinking about the potential to take advantage of the stressed assets in this type of market?
Joseph Adams: Thanks Justin. Yes, we do see. There are more deals out there. Virtually every airline is in a - as I refer to it in an extreme cash generation moderate and it’s looking to raise cash every way they can. So sale lease backs and particularly you know like Air France its older equipment which for us is ideal because it's really the engine they were buying. And I think these are from our point of view these are extraordinary deals where you are buying at very, very attractive prices and you have cash flow attached to it. So that's kind of what we're looking at. There's at least one deal that is pretty far along they were working on, that's a little bit bigger than the one we just did and in some ways better, but it's also very – they are both very attractive. And then there's others that are probably in earlier stages discussion beginning, but I think at six months airlines are going to be looking at everything.
Justin Long: Make sense. And secondly, obviously the energy environment has come under a lot of pressure. I was wondering if this causes you to make any strategic pivot at Jefferson. You talked about the flexibility there with the different modes of transportation, but can you just kind of level that things and give us your sense if oil prices don't improve meaningfully from here and crude by rail movements go to something close to zero, how should we be thinking about the potential EBITDA range for that asset?
Joseph Adams: Yes I think the - just from a bigger picture point of view, a lot of midstream assets are going to come under pressure, particularly assets that are gathering related in production gathering related. And this is one of the reasons we really focused on having a terminal next to two big refineries is because when those refineries, they're operating 24/7 and they bring in - Motiva brings in 600,000 barrels of crude a day and 600,000 barrels of product a day. And Exxon is going from 360 to 625. So the beauty of that is that there's always product flowing. That's not always the case if you're next to a well and the well decides they're not going produce any more. So from a strategic point of view that was always our vision and I think the strength of that is very apparent right now and we're very pleased that we don't have sort of gathering infrastructure we have we have terminals that handle both crude and refined products. And really what we focus on is diversifying that because when we originally started the terminal as you recall, we were simply crude by rail and realized you know in 2016 that went away. And so, we had to plan for the possibility that it happened and that's when we have developed the refined products relationship with Exxon. We've added jet fuel to that for export and then we've diversified with Motiva by storing intermediate some fuel oil and also you know bringing in crude by water. So it really is about diversifying and serving the needs of those two customers. And with what's going on in the market, there's so much disruption and dislocation that I think that it gives us the opportunity to further strengthen our relationship with those two big players and potentially add another refinery as well. So I feel strangely that this – environment could actually help us become more important to those players. And when the market does rebound, be as profitable or more profitable than we ever been in our original plan. Now clearly crude by rail this year is a contributor. So, we're going – that's going to negatively affect Jefferson and so we had expected to be run rate of $80 million to $100 million by the end of the year of EBITDA. That's probably not going to happen. It's going to be maybe something like half of that. But as I said longer term we're diversifying and adding products and when the Exxon refinery expands in 2022, we're in a great position to pick up and do more business. So net-net I think it's near term negative a little bit, but as I said manageable and long-term I think it’s positive.
Justin Long: Very helpful, thanks for the time today.
Joseph Adams: Yep.
Operator: Thank you. Our next question comes from Chris Wetherbee with Citi. You may proceed with your question.
Christian Wetherbee: Hey, thanks good morning guys. Maybe just picking up on the Jefferson comments for a moment, I guess specifically one of the opportunities that you guys were seeing was, Mexico exports, refined products going down there. Kind of curious to see sort of how that business plays out. I think it's hard to get a sense, from a fine products demand perspective obviously it’s down quite a bit, but I think there's market share opportunities that you guys have talked about in the past. So can you give a bit of an update on how that's playing out?
Joseph Adams: Yes, I think Exxon is pretty positive about where the market is now. I mean, there was a bit of a decline down, when they started and Mexico was seeing some demand disruption as well. So, there's a little uncertainty, but over the last couple of months, it's stabilized and I think they're now becoming increasingly positive and optimistic. As well, they've been able to pick up market share down there because Exxon is really the only one that's built their own distribution system and doesn't use PEMEX barrels. So they bring in their own molecule, which the market values more and it will pay a premium for it. So the Mobil brand is doing well. They're expanding again. And I think when people start opening up and driving, they and we expect volumes will grow, but they've - for the near term they've stabilized. I think is the way we see it.
Christian Wetherbee: Okay, okay, that's helpful. And then just sort of pivoting back to aviation and just trying to understand maybe the big picture of all of this, so clearly there's the potential for some utilization rates to maybe take a hit, but they also sound like there's some interesting new opportunities in the business. So I don't know if you want to take it from sort of a net dollars invested in 2020 versus now versus maybe what it would have been a couple of months ago for your outlook for this year or if it's from a cash flow or EBITDA generation standpoint. But again, can you give us some of the sense – like some of the sensitivity around some of the good stuff that's happening with new deals that we saw yesterday and maybe some of the headwinds that you could face because it is just a challenging market?
Joseph Adams: It is a challenging market. I mean there's no doubt that when airlines are not flying, they don't have revenue and you're going to suffer along with them. But we importantly, I think we've structured our leases to collect maintenance reserves, which I have always been a big fan of. So we hold security deposits in the form of cash, which is the best kind of security deposit you can get. And we have over $200 million of that to negotiate with. So I think that and the fact that we have cargo and that we have engines makes our position better. But net-net I mean, I think this year, this will cost probably $50 million to $100 million to us for the impact of COVID-19. And that's I think relatively less than what other leasing companies will see because of the reasons I just mentioned. But then on the flip side, these deals that we're negotiating are probably the best economics we have ever seen. And maybe we'll ever see again, because, this is without precedent that every airline in the world is effectively grounded and they're all scrambling for cash. So, the terms of these deals are really phenomenal if you believe that people will fly again, which as I said we do. And I think we also believe that the 737 and A320 markets will ultimately be the best markets to be in and I think they will recover first. And then because people are not doing short visits to save cash, they're actually in our mind very likely could be a shortage next year. And then if you couple that with the fact that airlines, historically they didn't lease engines very frequently. If you were one of the largest or "one of the best airlines in the world" you wouldn't have talked about leasing engines. Now, I think everybody will lease engines to avoid a short visit. So it's sort of a perfect confluence that it plays out that way that we could end up, our targeted EBITDA 25%, EBITDA to invest in capital and unlevered returns of 15. I think the deals we're doing now are above those numbers meaningfully. So if we can add, as I mentioned I think, we have one other deal that's pretty far along, in addition to what we just did and I think there will be other opportunities later in the year. So this ironically, it could be our biggest year for investment ever. And we've typically done - you know around $400 million to $500 million of new investments per year. So I believe that this could be bigger and better economics.
Christian Wetherbee: Okay. Okay, that's very helpful color. I appreciate the time this morning. Thank you.
Joseph Adams: Yes.
Operator: Thank you. And our next question comes from Devin Ryan with JMP Securities. You may proceed with your question.
Devin Ryan: Good morning, Joe. So just maybe I want to pick up where that collection ended and some great color here. You know clearly historic moment and a tough moment for the aviation industry, but you guys put yourself in a position, really to take advantage with the steps taken over the past few quarters, especially around capital. And so, just trying to think about kind of where you left off there, the capacity to potentially take advantage of some of these deals that you've already executed on and some that are in the pipeline and I suspect others will come together as people see the firm involved here. And so the capacity and maybe other options to create more capacity, whether it be selling off other infirm assets or accessing capital through other means to try to think about how you can kind of maximize your position here to take advantage of this situation?
Joseph Adams: Yes, good question. I mean, we're obviously looking hard and the markets last month were pretty choppy. So we were having moments of like pause and like how are we going to finance this or how do we manage it? But we did go into this with multiple options. We have now an undrawn revolver which we can use. We have a fleet. We opted to finance our aircraft in the unsecured market as opposed to the ABF secured market starting many, many years ago and I think that was a great decision. We now have $1.5 billion of unencumbered assets. So that's flexibility. And then we also can sell assets, and we have some aviation assets on the cargo side that we potentially could sell here. And then as you mentioned, infrastructure, it's obviously the next - this month is not really an ideal time to put anything on the market. But I could definitely see as you go that there's other monetization options and in the infrastructure space there's still billions of billions that have been raised by private funds for infrastructure. And then you have - potentially have Washington coming out with their $2 trillion infrastructure bill. They're going to be looking for projects that are shovel ready, and we have three sites that have opportunities to build lots of stuff on it. And I mentioned data centers and Long Ridge, we've had inquiries. One, it's big as one gigawatt, our power plant is 485 megawatts. And the data center build out is a huge opportunity. So the answer is we're looking at everything and we're not wedded to any one thing. And I think every week we have more visibility and more options than we had the week before. So I feel like - we feel like we've got many different ways to fund deals that we think are very attractive. So we'll figure it out.
Devin Ryan: Okay, terrific color. Thank you. And then just a follow-up, just if you can remind us with the infrastructure the kind of development over the next year, capital needs relative to kind of capital position and just the ability to fund kind of all of that at the asset level, just trying to make sure that we are thinking about that correctly?
Joseph Adams: Yes, so the - really the only - Long Ridge is a 100% funded. You know, it's under construction. This is all project finance debt, so that's easy Repauno, we have about $30 million of capital remaining for the build out of Phase 1 and we could opt not to do that if we decided, but I think we will go forward. There's really great opportunities in the NGL market and I think once we have an operating site, we're going to see some - just like you see in the crude markets, if you had storage available all of a sudden you can mint money off of it. So I think there's an opportunity to being in business is a benefit and that $30 million is not huge, it is very manageable. So I think that we will go ahead and do. And then at Jefferson, all the capital is basically going to be funded through either debt that we've already raised at Jefferson or debt that we will raise going forward, so doesn't require any FTAI capital.
Devin Ryan: Okay, terrific. I appreciate the color, Joe.
Joseph Adams: Yes.
Operator: Thank you. Our next question comes from Ariel Rosa with Bank of America. You may proceed with your question.
Ariel Rosa: Hi, good morning guys and strong quarter, all things considered. So I want to stay on that line of questioning. Joe, maybe you to talk about what the appetite looks like in the marketplace for selling infrastructure assets and if that's something - you obviously said that that's something that you would consider, it would shift your away from that targeted 50/50 mix between engine leasing or between leasing and infrastructure that you guys have spoken about a couple of years back. So just - if you could give a little more color on what your thoughts are on the potential to do that and what the market looks like for those assets, if you were to actually look to monetize some of those?
Joseph Adams: Yes. I mean, in general our philosophy has been to - as we've said, we'd like to build infrastructure at three to five times EBITDA. We'd like to see it develop and lease up, so that it would trade at 10 to 12 times. And in certain circumstances, we would sell it at 15 to 20 times, EBITDA, and then recycle that capital. So we will have other development opportunities at each one of the properties we could invest in. So we don't see the sale or liquidation or monetization of infrastructure as a divestment more as a just say, you know, going full circle from start to finish and then doing it all over again. So I think that that opportunity exists, and as I said with the U.S. potentially doing this big $2 trillion infrastructure, there might be many, many more opportunities to do that. So, and there aren't that many people that develop. There's a lot of people in the infrastructure world that buy mature cash flowing properties, but very few people build stuff. So I think we have a skill set and experience and the knowhow that is quite valuable. So really that's a philosophy. As I said today, you wouldn't start up an M&A process today in this market environment, but who knows in a month or two, it might be back to normal and you do have a tremendous imbalance of funds or there has been an enormous amount of money raised in the infrastructure for private infrastructure investments and very few investments available. And now, I think if you look at it, one of the areas that people had invested in was airports or container terminals and you wouldn't necessarily rush to do that right now. So the types of things that we do, I think could be very, very valuable and then there could be a lot of demand, but as I said, I wouldn't be in the process today, but I don't expect that to stay that way for very long.
Ariel Rosa: Sure. That makes a lot of sense. Thanks for that detail there. And then I think it was to Chris, you mentioned that there could be an impact of about $50 million to $100 million from COVID. Just so that I understand, is that relative to traditionally you guys have provided an outlook on run rate FAD from aviation. Is that saying basically $50 million to $100 million hit to that run rate, and if so, do you have a view on where that might settle out, based on kind of that baseline assumption that you mentioned with six to nine months timeline to recovery for the domestic market. Just your latest thoughts on kind of what that market looks like with the understanding that obviously there's a lot of uncertainties out there?
Scott Christopher: Yes – no - that's $50 million to $100 million would be a onetime impact this year for the balance of the year. And I expect that, we expect that in 2021 run rate targeted run rate of 25% EBITDA to invested capital will be fully normalized back to normal. And it's quite possible if we do a number of deals, this year and we have what happens, what I was talking about where more airlines are leasing engines and there is a shortage, it could be better than that in 2021. So I expect a full recovery if not upside next year, but this year you're going to have lower maintenance revenues and some rent deferrals. In most cases what you're doing is deferring the revenues so you put it on the back end. So it's not totally lost, but it would have a onetime effect this year.
Ariel Rosa: Got it. I understood. And then just last question from me. You know, I think the presentation mentioned you guys have about $200 million in LOIs, and obviously there is still a couple of deals in negotiation or under development. Is it safe to assume that any deal that you guys would do at this point would have some sort of guarantee along the lines of the Air France deal that we saw hit yesterday?
Joseph Adams: Yes, we could possibly, I mean, any sort of aircraft deal we're going to do with, we would only do with revenue attached. So to bridge and particularly like the Air France deal it’s an average of three-year term we’ll get us to the other side easily. And the other deal we're working on is actually a little bit longer than that. So, yes, any aircraft deal we will buy engines at various points in time that don't have revenue, but we can lease those out pretty quickly. So, and in particular, like for instance, the freight market, as I mentioned, is very strong. So we have CF6-80C2 engines and Pratt 4000 engines that fly on 767s and 747s and there's tremendous demand for those right now. So we actually bought a few of those this quarter. So, we will buy engines to put in our regular inventory and lease, but on an aircraft deal we would only do it with revenues attached.
Ariel Rosa: Got it, makes a lot of sense. Thanks for the time, Joe.
Joseph Adams: Yep.
Operator: Thank you. Our next question comes from Giuliano Bologna with BTIG. You may proceed with your question.
Giuliano Bologna: Good morning, and thanks for taking my questions. I guess jumping in on the aviation side. Obviously, there's a lot of disruption. You’ve mentioned to get your perspective on the timing of the JV. You mentioned the first initiative of product that's in the approval process. Is there an update on the timeline for the second part?
Joseph Adams: There's no change. I mean, we're still expecting by the end of this year. We have not been impacted in any way by COVID yet that I'm aware of.
Giuliano Bologna: That sounds pretty good. Then thinking about the opportunity set on the other side, if a lot of airlines are deferring maintenance and effectively deferring having or effectively sitting on a lot of run out engines and the market tightens towards the end of the year and you could get approval for the first two JV parts by the end of the year or somewhere in that timeframe, could there be some opportunities on the back end to effectively do sale leasebacks where you're going out and buying a lot of those engines and effectively putting them back in service that's the kind of lowest costs in the industry?
Joseph Adams: Yes, absolutely, that's was a great softball question.
Giuliano Bologna: That makes sense.
Joseph Adams: We do see that absolutely and even the biggest airlines in the world who, we've had conversations with have said, prior to that they said, well we do our own shop visits as we manage our own fleets. We don't do engine leasing and we'll take care of ourselves. Totally different tone now. And I could see us providing programs to big airlines so that we manage the shop visits. We put in the joint venture low cost parts and then we lease engines to even the biggest airlines and then they don't have to manage the shop visit and we can both make money that way. So I think it's, as I said, ironically it could actually accelerate our business plan to develop that because the airlines are in a much weaker position.
Giuliano Bologna: That makes sense. Then thinking a little more strategically on the leasing side, obviously, a lot of shops are under a lot of pressure at the moment as everyone's deferring maintenance events and overhauls. Do you think it would ever make sense to try and go out and buy a shop or do some sort of deal where you are going to acquire a shop with kind of an associated business to in-house a lot of the overhauls and kind of provide more of a full package to some of the airline counterparties?
Joseph Adams: Yes, another great question. We have been having and I've mentioned over the last year we've been having conversations. And one of our concerns has been that the maintenance shops were so full, that we wouldn't have priority for our engines. And we were very, that was one of the things we are concerned about. Well no more. I mean the opposite has happened. The shops are emptying out. So we are in a totally different position now to drive. And one of the things I mentioned is that, this will also help us get a much better deal with an MRO shop. We've sort of hesitated about buying an MRO shop, because we don't really want to be in that business. But I think we can have our cake and eat it too. I think we can have a deal with an MRO and not own it, but get everything that we want from that arrangement. And I think the environment to do that just got a lot better. So we expect, we hope we'll have a deal in that area over the next few months. And we're pretty far along with one party. So it's quite favorable, and I think it would be the last piece of what we're trying to put together.
Giuliano Bologna: That makes a lot of sense. I really appreciate the time for the questions and good luck guys.
Joseph Adams: Thanks
Operator: Thank you. Our next question comes from Frank Galanti with Stifel. You may proceed you’re your question.
Frank Galanti: Yes hi, Joe thanks. I wanted to ask about the balance sheet. Largest concern I hear from investors about FTAI is liquidity. Obviously, the investment opportunity has gotten a lot better in the last couple months. But a lot of investors I talked to were concerned about staying power. And I know you have revolver of $250 million, but looking at 1Q, cash balance went down pretty materially from 4Q down to $45 million. Looking at your net debt-to-cap is about 52%. What could you realistically get that up to? I know you'd mentioned $1.5 billion of unencumbered assets, but with $1.2 billion at the corporate level, is that going to limit your ability to draw that down?
Joseph Adams: No we can - we have the ability to do secured debt for purchase money indebtedness. The deal we just announced we expect to fund that 100% with that. So and as I said, we can also look at some asset sales to manage that as well. So I think the - we feel pretty good as we've brought the non-recourse leverage down to 40s under 40 something percent, which is the lowest of any aircraft leasing company in the world I think. So, we've got ourselves in a good position where we can increase that. We got it as high as 60%. I think before we, and started the program we – began a year ago. So I would say that's probably maybe the upper bound, but we can also – we did preferred offerings last year and we did asset sale. So there is a number of levers, we can pull and it's obviously dynamic as this year unfolds with deals, but we feel like we're in a good spot to sort of manage that within those bounds. And we got upgraded by Moody's to BB and they didn't downgrade us. So, we feel good about the capital structure and the flexibility.
Frank Galanti: Great, that's super helpful. Kind of following on to that, at what point do you look at that big juicy common dividend you're paying? And kind of maybe want to reprioritize that to the current investment opportunity set in the aviation space, is that something considering – worth considering?
Joseph Adams: We’ve always paid dividend, it was always in part of our investment thesis and story and we can pay the dividend. So we felt that that's important to our shareholders. And it's not to say that it couldn't the environment could get worse, but we don't want to cut the dividend. So I think that's the clearest way I can express it. And it's the scenario that I laid out, is sort of posted coming through. We won't have to cut the dividend. So that would be our first choice.
Frank Galanti: Okay, great. Thanks very much.
Operator: Thank you. Our next question comes from Rob Salmon with Wolfe Research. You may proceed with your question.
Robert Salmon: Hey, good morning, guys and thanks for taking the question. Just a followup in terms of the aviation investments, obviously a lot has changed since kind of the end of the quarter. But can you give us a sense with the LOIs. Did that include the Air France deal? And if we looked at kind of what the LOIs would have looked like on May 1, what would that look like relative to the $220 million that you called out in the presentation?
Joseph Adams: Scott, do you have the answer to that?
Scott Christopher: Yes, it does include the Air France portion of it, but some of the other deals that we still are kind of working on that Joe alluded to, doesn't necessarily include that.
Joseph Adams: But Air France is included in that.
Robert Salmon: That’s helpful guys. And obviously, we're seeing you guys got the ability to monetize the aviation portfolio. Can you give us a sense of kind of the timing of the asset sales and what, were you selling kind of engines to the cargo market where you are scrapping some of the aviation aircraft and just so we get a better sense of kind of how that played out as the airline industry felt a lot of pain throughout the quarter?
Joseph Adams: Yes, the biggest category for the asset sales in Q1 were the sale of the airframes from the Avianca deal. So if you remember we bought 14 aircraft from Avianca at the end of last year. And 10 of those were targeted for engines just to keep the engines. So we sold the airframes. And that was always part of the deal. So it was basically just monetizing the part of the asset that we didn't want to keep. That was the biggest portion of the asset sales in Q1. Going forward, as I mentioned, I think we have the potential to sell some aircraft into the freighter, some freighter aircraft. So we may look to do that, given that's a very strong market. And we have some that we can sell. We've signed an LOI to sell a couple of 76s that will be converted from passenger to freighters. We're not going to do the conversion, but we would sell the aircraft. So that kind of a deal is what I would expect for this year. You know, it's possible, if the market recovers and we have - we do the Air France deal and we do maybe one or two others we could sell a portion of some of those deals too, it might be a very attractive way to sort of change the basis and what we've got.
Robert Salmon: Got it. And actually kind of my final question in terms of the aviation businesses, I was actually surprised that the number of engines off lease as well as aircraft off lease didn't tick up more sequentially kind of four quarter to first quarter. Can you give us a sense in terms of what the timing is of some of your - we've seen average duration of a little roughly a year in terms of the engines roughly three years in terms they aircraft. Can you give us a sense of what that - how much of your current book is going to be - is currently on a month-to-month lease and what the terminations look like over the duration of the year?
Joseph Adams: Yes, we have – it was about 15% of the fleet comes up in a year for the aircraft. Is that right?
Scott Christopher: Yes, it's around 10, in between 10% and 15%.
Joseph Adams: 10 to 15%. So that's what is available on the aircraft side. The engines obviously are - many of them are on short-term leases, but people don't return as people expect that they're going to fly again, they're not going to return all the engines because it's going to be hard for them to get them all back. So we don't see rush of people giving - returning engines, we haven't seen that. So and as I said, the engines, the CF6-80 engine and the Pratt 4000 engine are the engines for the 76 and 74 for the cargo. And those engines are in demand and they're flying a lot. And then if you have a CFM engine for and a V2500, for the 737 and the A320, those are the first aircraft that you're going to put back in passenger service. So they're not likely to give those engines back either. So it's a stickier market. In general, people don't just take everything and return it . But obviously, if it's prolonged and that's why if it goes on a long time, then more of those assets will come back because people will - they'll give up and they'll just say, I don't know when I'm going to fly and I'll return everything.
Robert Salmon: Makes sense. Well I appreciate the perspective and stay well, guys.
Joseph Adams: Thanks.
Operator: Thank you. Our next question comes from Robert Dodd with Raymond James.  Robert Dodd, you may proceed with your question.
Robert Dodd: Hi, guys, just sticking with the aviation business, of the - that kind of $50 million to $100 million negative impact . I mean, what is the visibility on that in terms of that the passenger aircraft that are flying or the engines? How many of the ones you would expect could ask for relief deferral, etc, etc. How many of those requests have you already seen and kind of maybe already adjusted lease terms, or do you think there is a lot more still to come on that front? And you're making a kind of estimates or is that the incremental not factored into that yet, because visibility is simple?
Joseph Adams: Now, pretty much everyone has asked for some deferrals and we've negotiated many of the deals already. And so, when we came up with that number, we did it asset-by-asset, lease-by-lease. And so we have basically gone through the whole portfolio. So it's not just an assumption of what will happen. It's actually what has - what we pretty much see has happened. But as I mentioned, what - it's an assumption that people will start flying again in Q3 and Q4. And so if that doesn't happen that would change that assumption. But right now, that's what most people are planning. And it seems that many countries are starting to do that. China has recovered and added flights on the domestic side. Vietnam has added flights. Italy has actually increased flying. So it's starting to happen, but there are many, many forecasts out there that says this could be a W or a U or an L or whatever, and no one is 100% sure if it comes back that people wouldn't stop. But right now, the plans that people are putting in place pretty much reflects what we're being told and what we're seeing and asset-by-asset negotiations.
Robert Dodd: Got it. I appreciate that. I mean, you just mentioned in one of the other responses about cargo conversions, so obviously, you don't do them, but that does, there is increasing stories of where you're going to get a 737 and some others that have typically been cargo operators. But you've talked about that those and the A320s could be kind of the next generation of freighters. Do you think this environment is accelerating that, and what does that do to potential allocation or your willingness to lease out an engine to a passenger aircraft versus holding off maybe and hoping for a freighter where demand seems to be higher right now?
Joseph Adams: Well, the beauty about engines is the engine doesn't care if it's on a passenger plane or a freighter, and it can go back and forth. So for instance, we have 767s, some fly passenger and some fly freighter, and you can lease an engine to either one and an engine could go from a passenger plane to a freighter plane and then back again. So that's one of the reasons I like the engine business because you can serve either market and you're not stuck with it. I think there will be accelerating conversions you're seeing already. People are taking passenger planes and putting in - taking the seats out and putting in freighter systems to allow those like a 777 or an A330 to fly in freighter. Only flights that are today are passenger airplanes. So there is going to be more freighter conversions for sure and that's good. I mean, it's a lot of weight and shift and soak up some of the supply.
Robert Dodd: Okay. Got it. I appreciate it. Thank you.
Joseph Adams: Yes.
Operator: Thank you. Our next question comes from Brandon Oglenski with Barclays. You may proceed with your question.
Brandon Oglenski: Hi, good morning, Joe now and thanks for getting me in here. So Joe, I just want to come back to this, what percentage of the lease, the expense will actually be paying revenue through the second and third quarter at this point?
Joseph Adams: Well, I mean, I mentioned 30% of cargo, and then we have 20% that are flag carriers, and they will be paying partial rents. So you're not getting 100% of the rent. So I think in the second quarter, we're probably going to see 25% decrease in rent something like that.
Brandon Oglenski: Okay, and with the – I mean, how much of the portfolio is actually reached out to restructure or renegotiate terms if you don't mind sharing?
Joseph Adams: Well, as I said to Robert, pretty much every airline we've had negotiations with already. So it's been asset-by-asset, lease-by-lease. So nobody has not been spoken to and we've not assumed anybody is just going to keep paying and not talk about it.
Brandon Oglenski: Okay. So I appreciate the visibility there. I guess along those lines, with your cash balance I think it's around what $50 million right now, what are some of the finite financing options that you're going to take in the market, especially with deals like Air France coming by automatic I think you do need some incremental liquidity, is that correct?
Joseph Adams: Yes. And I think we're looking at a range of debt financing alternatives for that deal. We could do secured and that market is wide open.
Brandon Oglenski: Okay.
Joseph Adams: So there's a range of alternatives that we're considering including the easiest one would be secured debt.
Brandon Oglenski: Okay. What about any form of equity financing, even if in preferred markets is that on the table as well?
Joseph Adams: Yes, it’s a volatile market, but yesterday was a good day. So, today may not be, but yes.
Brandon Oglenski: Okay. And then I think, my last one on infrastructure, the CapEx projects on the pipeline build out to two of your large customers. I guess do you have committed contracts behind that spending such that, you feel pretty comfortable that that will ramp earnings of the Jefferson facility?
Joseph Adams: Yes, yes, we do. So if you recall, for instance, the Motiva contract had a provision. It was a three-year deal on the storage before the pipeline was built, and then once the pipeline is built, it converts to a five-year deal. And then Exxon, we have a refined products deal to Mexico and we've also just added an additional storage deal of jet fuel as well. And we think when the pipeline, when those pipelines are completed, we expect to get additional business and ramp those volumes up.
Brandon Oglenski: Okay well, I appreciate you guys managing through a pretty difficult position, but thank you.
Joseph Adams: Thank you.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Alan Andreini for any further remarks.
Alan Andreini: Thanks Josh. Thank you all for participating in today's conference call. We look forward to updating you after Q2.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating. You may now disconnect.